Operator: Good morning, ladies and gentlemen. Welcome to the AGI’s Fourth Quarter 2014 Conference Call. As a reminder, this conference call is being recorded. I would now like to turn the meeting over to Mr. Gary Anderson, Chief Executive Officer of AGI. Please go ahead, Mr. Anderson.
Gary Anderson: Thank you, Marie, and good morning, everyone. Thanks for joining us. On the call today we have Steve Sommerfeld, Executive VP and CFO with me here in Toronto; and Dan Donner, Senior Vice President, Sales and Marketing back home in Winnipeg. I would like to take few moments to review the highlights and challenges of 2014 with you and then hand off to Steve to go over the financials. First of all I would like say thanks to all the AGI employees for their outstanding efforts in 2014. As we finish the year with record sales up 14% over 2013’s record year and EBITDA also a record up 22% over 2013s record year. These records were primarily due to strong demand in North America as we leveraged our brands and our market positions that we’ve worked very hard to build to benefit from other – from another strong harvest. When we look offshore 2014 was a year of mixed results and I would like to add a bit of perspective if I could. Through a combination of M&A and major organic growth AGI’s international business has grown rapidly over the - say the last half dozen years. We’ve really achieved I think excellent performance over that period going from about $6 million in 2007 to slightly over $90 million in 2013. Lot of this growth took place in Eastern Europe including Ukraine and Russia, with the Ukraine crisis taking hold in early 2014, our momentum has taken a pause, but 2014 international sales coming in slightly under $80 million. Considering the external factors through on our way I am extremely proud of the results achieved by our international team. Despite all the turmoil our large customers in the region continue to push forward with their long-term investments. This results speaks loudly to our – to the enormous long-term potential in the region. Over the past few calls we’ve also noted that our recent initiatives in Latin America, which were designed to provide more diversity to our international business are beginning to take hold. At the end of December 2014 our sales for the year plus or to backlog totaled an encouraging $22.5 million. We also launched an organic growth plan for Brazil in November of 2014. We have been able to attract a very strong core team bringing with them many years of direct industry experience in Brazil. They have been very busy immersing themselves in AGI product training and already building a promising court log. We will continue to add to this team through 2015 and ask you to remember that this is a country with total grain production that rivals United States and yet has like a fraction of the grain infrastructure that the North American industry has. In 2014, we undertook an aggressive CapEx program to prepare AGI for future growth. We are constructing new production facilities at both the Hi Roller division in Sioux Falls, South Dakota and our Union Iron works division in Decatur, Illinois. We expect both projects to come in online in H2 of this year. 2014 was also an active year in M&A, we started the year off with acquiring the REM GrainVac a nice edition to our Batco operations in [indiscernible] and I would like to acknowledge also that the integration went really well over there. So we are very pleased with what happened there. We looked hard at several other opportunities both in North America and in Brazil and we cap the year off with our largest acquisition to date by announcing the purchase of Westeel. We had hope to see a close in Q1 of this year, but now see this is moving into April as we await the remaining regulatory approval for the competition bureau. We are in communication with the bureau and have provided all requested information, we appreciate that the bureau has a lot of information to digest on both sides of the transaction. We remain confident of receiving this final approval as a precaution against any further slippage, we expect we make meetings of our subscription receipts, holders and debenture-holders to approve an extension of our financing should it be necessary. We remain very excited about the transaction and the opportunities that it will present for our shareholders. Before turning it over to Steve I’d like to acknowledge that we are really pleased with the overall performance in Q4, we are disappointed with some of the last minute delays in international shipments that have impacted the quarter. We’ve made a sincere attempt at improving the transparency of our international business, but remain challenged by the number of moving parts in any given point in time. Certain projects that we had expected to ship in Q4, where delayed not because of any political or credit issues, but rather the result of customer control variables including last minute design changes as well as civil works and construction constrains. The good news is that this business will be captured in 2015. I think at this time, I’ll pass it over to Steve for the review of the financials.
Steve Sommerfeld: Okay thanks, Gary. I’ll start with a brief review of our results for the year ended December 31. In fiscal 2014, both trade sales and adjusted EBITDA record highs. The record performance was primarily the result to strengthen our core North American market. As the primary demand driver for AGI equipment of the volume of grain grown, higher levels of demand resulted in the large North American across 2013 and 2014. In Canada, sales for the year were a record $106 million and increased of $31 million or 41% over the prior year. A very large crop in 2013 in Canada stimulated demand for on-farm grain handling storage and aeration products and contributed to an increase in the level that grain stored on the farm. In addition, demand for commercial grain handling equipment remains strong in part due to increased activity related to the dissolution of the Canadian Wheat Board monopoly. In the United States, sales in 2014 were $226 million and an 18% increase over 2013. Sales of portable grain handling equipment were very strong in 2014 due to the carryover effect of a large harvest in 2013 and record crop volumes in 2014. Offshore, as Gary noted earlier sales decreased compared to the prior year despite continued momentum in Latin America. The decrease was primarily as a result of weakness in our Finland-based Mepu's division digital market and a positive momentum in Ukraine that resulted from economics and political uncertainty related to the ongoing crises. Overall, trade sales for the year increased to $409 million, a 14% increase over the prior year. In addition to the very strong and record trade sales gross margin increased to 34% in 2014 from 33% in the prior year. The increase was a result of production volume efficiencies, a favorable sales product mix, price increases and the benefit of the weaker Canadian dollar. Overall, higher trade sales and an improved margin resulted in a record adjusted EBITDA for AGI in 2014 and $78.2 million an increase of $14 million or 22% over the prior year. Now, I will move on to fourth quarter results. Fourth quarter trade sales in North America exceeded a very strong 2013 comparative. This was largely due to strong demand for portable grain handling equipment that resulted from record crop volumes in the U.S. Offshore sales decreased $4.5 million compared to the prior year. Although, we experienced growth in Latin America higher sales in this region were offset by a $2 million decline in sales at Finland-based Mepu again the result of weakness in those regional market and project delays in Latin America and Ukraine that were related to customer control variables including design changes, civil works and construction constrains. When comparing to Q4 2013 it should be noted that international sales in Q4 last year benefited from sales to a single customer in Ukraine of approximately $14 million. Overall trade sales in the fourth quarter increased 5% over the prior year. Fourth quarter gross margin decreased compared to 2013, largely due to sales product mix and a lower margin at Union Iron division. The lower margin at Union Iron resulted from higher demand for structural products that challenged engineering resources and consequently disrupted normal workflows. The margin issues at Union Iron have been addressed through a full product line review including lean initiatives in both engineering and production. Overall higher trade sales are more than offset by a lower EBITDA margin and adjusted EBITDA decreased $1.8 million from the record achieved in 2013. Profit per share in the fourth quarter and for the year was significantly impacted by our settlement with the Canada revenue agency. Our MD&A includes the calculation of adjusted EPS and after normalizing for the CRA settlement as well as certain other items. Adjusted EPS increased $2.64 in the current year incurred with $1.74 in 2013. Although the CRA settlement resulted in the non-cash charge for earnings of $16.9 million in Q4 we are very pleased with the outcome of this agreement for several reasons. First, the settlement removes market uncertainty with respect to a loss of AGI has utilized in previous years as well as the quantum of tax assets available for use in the future. The settlement also removed the need for AGI to plan for a cash outlay in the form of a deposit to the CRA, well we can test that they are challenging the court. And finally and significantly subsequent to the settlement, AGI is available over $16 million of tax assets to offset taxable income in future years. Okay that’s all I have for prepared comments. Now I would like to turn the call back over to Marie for Q&A.
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions] The first question is from Jacob Bout from CIBC. Please go ahead.
Jacob Bout: Good morning.
Gary Anderson: Hi, Jacob.
Jacob Bout: I wanted to dig into some of your comments about the Ukraine so you talk about your backlog right now basically half of it coming from Ukraine and Russia so I guess around $20 million? How much of that is – is that risk in your mind especially given that port contract was cancelled.
Steve Sommerfeld:
. :
Jacob Bout: Okay, as a comparison what was the backlog for Ukraine and Russia at the end of 2013?
Steve Sommerfeld: I don’t know that precisely, you could probably make a better guess, but it would be a lot higher, we had a couple of significant projects on the go.
Gary Anderson: Yes, without getting too specific it was quite a bit higher year-to-date last year and what’s left maybe I’ll add to Steve’s comments what we’ve left in the backlog for Ukraine and Russia is customers with externalized credit risk, so not with dependant on Ukraine itself.
Jacob Bout: Okay. And then the weaker Canadian dollar, how does that - how should we be thinking about that, is that more a case of just seeing less product exported into Canada or less competition for U.S. based product in Canada or does it allow you to get more aggressive as far as [indiscernible]?
Steve Sommerfeld: Yes, I don’t think it has a significant impact on our competition in Canada, when we’re selling in the U.S., we are selling in U.S. dollars and all of our lines of equipment are obviously in competitive markets. The foreign exchange differential obviously helps our margins from the Canadian based manufactures perspective. We are not lowering prices to achieve this and gain market share, is that makes sense. Where you really see it with us obviously is we have a pretty large net USD exposure, which benefit from a lower - our earnings benefit promote our lower Canadian dollar.
Jacob Bout: Okay, last question here is just on Westeel, when do you expect that to close and what are the steps here for closings?
Gary Anderson: Yes, so we expected to close in April, to be fair to the competition bureau that they didn’t have a lot of background on our specific nation in the Ag sector, so they have had to do their 101 work firstly for getting up the curve enough. And so they’ve asked a lot of questions and they have been working hard and I think things will progress in the next month or so, but we know now that it won’t happen in March which is what we originally had hope for sometime in Q1. So but it should close in April, but again we want to be prudent and make sure that there is notice periods Jacob with the shareholders or debenture holders and we have to be cognizant of that to, so we just want to be little bit prudent on getting the ground work laid out just in case we need to extend it.
Jacob Bout: Okay, thank you very much.
Gary Anderson: Yes, thanks.
Operator: Thank you. The following question is from Christine Healy from Scotiabank. Please go ahead.
Christine Healy: Hi, good morning guys.
Gary Anderson: Hi, Christine.
Christine Healy: Hi, I guess just following up on Jacob’s question Westeel and just wondering I know it hasn’t closed yet, but have you been in contact with them and monitoring how their steal buys and preseason orders have been going and how is that been tracking compared to last year?
Daniel P. Donner: Yes, we’ve been in touch with the senior people there on a regular basis getting ready to when we hand over the keys, but we don’t have the keys yet and I’m pretty sure I’m not a liberty to speak on their behalf. So I want to have to do my best on dodging that one, okay.
Christine Healy: Okay, but no surprise is basically you’ve been in close contact what’s going on, okay.
Daniel P. Donner: Yes, I’ve been very impressed with the leadership with the cooperation both with Vicwest and with Westeel team as well, it bodes well for where we are going to go with it.
Christine Healy: Okay. And then Gary I just want to get better understanding of some of the workflow issues that Union Iron whether or not they are expected to persist in the first quarter and then whether or not the new plant that you are building will address some of the constraints that you are focusing on right now?
Gary Anderson: Yes, thanks for asking that I actually when you get a bump on the road and you stand back and do a review it tend to take a little longer period then just a quarter to address everything. So it will persist throughout the year, but it will impact Q1 as well I’m sure. And yes the new facility will help us address it, certainly we’ve been offering this two different plants and some very confine spaces and throwing a lot of kiosk their way and I’d like to apologize to the workforce down there for what’s happened because when you create a bottleneck with the new product line and this bottleneck is primarily in the engineering and so it affects the flow it becomes intermittent and it get surge of activity and then not very much at all for a little bit while you are waiting to get the next pieces of work refined and to the shop floor. So we’ll work through it over the winter and we’ve got all hands on a deck that’s for sure, so but yes the new facility is going to help quite a bit as well.
Christine Healy: Okay and then just one last question on your commercial equipment outlook for North America for 2015, just covering some of the big grain handlers like ADM and Bunge I mean they’re all having very good results have great financials it seems to me like they’d still be moving forward on commercial projects that you expect that there could be a slow down or is it just that’s going to be pushed out more towards the second half of the year.
Gary Anderson: Hey, Christine, we haven’t received any indication that sales in the commercial product grouping are going to decline. I think I would say that if anything 2015 feels like a bit more of a return to kind of normal year where you don’t get those customer commitments in January, February, they really do start coming the way the [GEAPS] Conference at the end of February and they start coming more so in March, April. We see the same thing there is lots of quoting activity going on, the prospects are very good. We felt obliged to tell the street that the backlog we have aren’t the same as they were last year, but we feel right now are really is more of a timing thing and more return to historical patterns.
Christine Healy: Okay that’s helpful. Thanks so much guys.
Gary Anderson: Yes, thanks you.
Operator: Thank you. The following question is from Andrew Jacklin from National Bank Financial. Please go ahead.
Gary Anderson: Hi, Andrew.
Andrew Jacklin: Hey, good morning. Just filling in for Greg Colman here. Quick question if you can in terms of the backlog reduction versus record levels. I know you guys don’t like to quantify it but could you put a percentage on how far that’s come down?
Gary Anderson: Yes, we don’t quantify it and forget reasons with these backlogs and I’m always hesitant to give a snapshot of backlog because so many variables are involved. It’s not something that were really concerning to us, but again it similar to kind of the – to the commercial, similar but not similar to the commercial backlog, what we are seeing I think in the portable grain handling space. Again a bit of deferral on orders coming in and we think that’s primarily related to that the dealers cash flow kind of perspective for the year where they are seeing some of their main line equipment and other product lines perhaps being a little weaker. We don’t believe commodity prices in the end have any effect on deals if they need the grain augers. But it seems a little slower upfront on the grain auger side, and again I think once the snow melts and the farmers get out in the field, we think we’ll get and get back to kind of where we expect to be this year, which is a - it should be a good year all indications are, what early indications of planting intentions and that sort of thing.
Andrew Jacklin: Okay, great. You guys also mentioned that there was a delay on a Latin American project, what’s the expecting timing on that and this being sort of a new territory for you guys, do you think that this kind of delay would be normal for this market or is it something project specific with this particular deal?
Steve Sommerfeld: I think this kind of delay is going to be normal and typical for all of our international business. We see it everywhere, in this particular instance if there were some delays on the civil works side nothing to do with financing or our problems with the sides. Yes, again it’s a snapshot, some of that equipment is being shift in Q2 and some will be shift in Q3 are recognized as revenue. It is difficult sometimes when you pick up certain point in time and as Gary alluded to in his comments, when we forecast that we expected Q4 of 2014 to beat 2013. This is one of the things that results are not beating 2013, it’s pretty fine line between getting the revenue into a quarter and not on some of these things. So the delays are not going to be unusual, it’s just something we need to try to communicate to the street as fast we can and hope you understands at times we’re going to be off by a few weeks.
Andrew Jacklin: Okay, makes sense. That’s it from me. Thanks guys.
Steve Sommerfeld: Thanks, Andrew.
Operator: Thank you. The following question is from Marc Robinson from Cormark Securities. Please go ahead.
Marc Robinson: Thanks.
Steve Sommerfeld: Hi, Marc.
Marc Robinson: Hey guys. So just a question around margins here, I guess I’d thought margins would have been stronger given the FX environment steel pricing and what look like a decent portable handling quarter. So beyond I mean what you disclosed in the MD&A, can you give some color on what’s happening with margins?
Steve Sommerfeld: Sure, I’m happy to answer any questions. I am not sure what your expectations or what your model showed for 4Q, you are asking Marc around Q4 or the year?
Marc Robinson: Q4.
Steve Sommerfeld: Okay, so Q4 the foreign exchange differential was - our average rate in Q4 was 113 and that compares to 104 last year. So it’s a nice pick up, but I think certain people may have in their mind. The dollar today is at $125, it wasn’t that way in Q4 of 2014 obviously. The U.S. dollar because of the low volume quarter and Canada still that in Q4, if you look at our segmented sales the benefit from the USD wasn’t a large that you might be thinking. The other piece of that I mean the Union Iron issue that we addressed really because Q4 such a low volume sales quarter consolidated really stood out as impacting. We’ve been seeing some margin issue that Union Iron for while now, but it really jumped out in Q4. The third thing I would add and we talked about Mepu and a sales decline in Mepu compared to last year was one of the reasons international was down, but when you are dealing with low sales volumes like that we also had a margin issue as Mepu, which was again largely sales volume related.
Marc Robinson: Okay, yes that was sort of a good segway into my next question around Mepu. So it sort of a common theme amongst what’s been very strong quarters in the past has been sort of issues around Mepu. So how much of that is sort of cyclical and maybe crop dependent in the region. How much of that is more of a secular issue in your mind around what’s happening within that business?
Gary Anderson: Yes, well also I think Mepu certainly is subject to fluctuations based on EU subsidies in both their domestic markets and their export markets which primarily are on the Baltic regions and other Scandinavian countries, you kind of do get that every three-year kind of bump from the EU subsidy and depending on how different countries spend it, how quickly they spend it does impact Mepu. It’s crop dependent like the rest of our business, in harvest in Finland primarily is later and whether Mepu will have a better year. It’s a competitive marketplace, Mepu we put a fair bit of effort right in the shift that Mepu at sometime be external factors that the EU subsidies make it difficult in a certain year.
Marc Robinson: Okay and just finally can you remind me what is the dollar amount of that Black Sea contract that we talk about?
Gary Anderson: Yes, so the remaining backlog for that contract is roughly $30 million.
Marc Robinson: Okay.
Gary Anderson: Again it’s not in the backlog that we quoted, it’s not in that $40 million backlog that we quoted in our outlook.
Marc Robinson: Yes, okay. Good, thanks.
Gary Anderson: Yes. Thanks Marc.
Operator: Thank you. The next question is from John Chu from AltaCorp Capital. Please go ahead.
John Chu: Hi, good morning guys.
Gary Anderson: Hi, John.
John Chu: Few questions here maybe first on just on Brazil, I think before you mentioned you are hoping to see some winning bids in early 2015 any sense that we could see something in Q1 quarter and sense on the overall quoting activity.
Gary Anderson: Hi, I think I want to proceed with a bit caution just because it’s a brand new territory I do expect that we are going to see some winning bids. The ones we are working on that are most favorable are ones that the timeline to close them isn’t for a few more months, but we’ve got some really promising opportunities coming forth already and it hasn’t been too long that the team has been active out there. So they’ve been kind of back and forth to North America few times as well to get some training to, so I want to emphasize that we are pleased with the progress that we are making so far.
John Chu:
.:
Steve Sommerfeld: Today, we are very typical the preseason interest was strong just like last year and it wouldn’t had a material impact on our quarter compared to 2013.
John Chu: Okay and then any way to potentially quantify from an earnings perspective the impact that maybe the mix or even Union Iron may have had on the quarter?
Steve Sommerfeld: Yes, it’s difficult to quantify you know we don’t segment down to that level of detail, the problem with Q4 when you have a blip or two that we’ve had Union Iron and Mepu on a margin basis that really stand so when the top line is seasonally low. These aren’t absolute train rack. Union Iron is a - had a fantastic year in 2013, we expected it to grow significantly in 2014 and they added a product line it caused some issues that we fully expect it will turnaround in the first half of 2015, but when you are looking at a standalone quarter like Q4 specially at Q4 it just it has a fairly big impact and I don’t think I will put a dollar number on it or a percentage on it but it just have been Q3 thing wouldn’t have made of it probably wouldn’t been worth noting.
John Chu: Okay fair enough. And then maybe just a last question with some many international sales I think it was $4.5 million that got delayed was there meaningful cost that were incurred in the Q4 quarter that short up or…
Steve Sommerfeld: Yes, maybe delay is not the right word, there is no cost, these are costs of production. There is no cost related to a delay itself.
Gary Anderson: Some inventory bumps.
Steve Sommerfeld: That’s right, it’s an inventory exactly and this product in particular I believe either on the Ocean or maybe even landed on in South America, but revenue recognition rules are so technical, you have to be very careful on following all of the rules that weren’t able to recognize it in Q4.
John Chu: Okay, fair enough. All right, thank you.
Steve Sommerfeld: Yes. Thanks, John.
Operator: Thank you. [Operator Instructions] The following question is from Nelson Mah from Laurentian Bank. Please go ahead.
Nelson Mah: I just want to clarify on your international sales, so that Ukraine that you said we realize going into 2015, is that kind of a spread out to the back half?
Steve Sommerfeld: So, Nelson are you speaking to the kind of the - we had a $40 million backlog and kind of half of it was in Russia, Ukraine half not.
Nelson Mah: Yes.
Steve Sommerfeld: Right, well Dan maybe you are best to answer that question on generally when would you expect that Ukraine revenue to ship in 2015 and you can leave the revenue recognition stuff to me.
Daniel P. Donner: Okay, within the first half of the year it will ship, so far we are on track for what was scheduled to be shipped for Q1 kind of spread out over the first half of the year.
Steve Sommerfeld: Right, so then you would expect some of that will be Q3 revenue, but it’s not that backend loaded I guess it’s the message from Dan.
Nelson Mah: Okay, got it. And then just a general question. I thought your backlog is at $40 million, again general it’s mostly realizable in the year or just something get deferred to a following year?
Steve Sommerfeld: We believe that $40 million will be recognized in 2015, and that’s why we striped out the large project in ODSA that one little more difficult to handicap, but the projects that are in that $40 million we do expect are going to be 2015 revenue.
Nelson Mah: Okay, my last question on Brazil, they are going push like a one stop shop or more augers versus been like, what’s the general push there?
Steve Sommerfeld: Yes, so we are going to start Nelson with focus on the commercial side of the business and lead with strength, lead with - we’ve got a exceptional product Hi Roller and we’ll be leading with that, and of course there will be a number of other products that as soon as you get sales guys out into a territory they come across a lot of other things as well as what you are focused on, so one of our jobs will be to keep the focus where there is so many opportunities out there to keep the focus where it needs to be which we want to lead with the strength of our Hi Roller brand.
Nelson Mah: I got, thank you.
Gary Anderson: Yes, thanks, Nelson.
Operator: Thank you. The following question is from John Chu from AltaCorp Capital. Please go ahead.
John Chu: Sorry, get a couple of quick follow-ups, what’s the lead time so if you were to get a bid into your backlog at what point in the year does it become more really 2016 calendar revenue, are we talking by the end of Q2 that start getting bids at that time, it’s really going to be more for the following year?
Gary Anderson: Yes, there is a variety of situations, but normally would you start building from the next year would be sales that you start initiating in the fall of the year. The sales that we are going to close on that are in our backlog now, these are for customers that want to get their facilities up in running for harvest time.
Steve Sommerfeld: Yes, that’s right. I think it’s there is previous years and Dan again probably better to speak to it and may, but you do get sort of later in the second or later in Q3 and still some last minute orders that will fit into 2015 and once you get into Q4 in particular that into the next year.
Daniel P. Donner: Yes, exactly the echo what Steve is saying we’ve had some project that will come to us late in Q4, shipped in Q1, we’ve got some that we’ve worked in Q1 that ship in Q4. So its dependent on the complexity of the project and how fast the response of the customers to a lot of these issues.
John Chu: Okay and this one last question just on the Mepu I think I may have missed this, but so the timing is from EU subsidies, so the revenue that you lost and in the quarter is that going to recouped and this year or that just lost?
Steve Sommerfeld: Yes, well it’s lost maybe it’s not the right word I may have said that I probably should having that was just a weaker year for demand in 2014.
Gary Anderson: The market share issue it’s the market itself expanding and contracting subject to the stimulant of the European subsidies.
Steve Sommerfeld: All right, so the subsidy environment in 2015 we expect will be better, so Mepu will benefit from that both in Finland and in it’s nearby export markets.
John Chu: Okay, great. Thank you.
Gary Anderson: Yes, thanks. End of Q&A
Operator: Thank you. There are no further questions registered at this time. I would now like to turn the meeting back over to Mr. Anderson.
Gary Anderson: Okay, well thanks, Marry and thank you everyone for joining on the call today and we look forward to following up with each of you if you got any further questions down the road. And certainly appreciate everybody’s support.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. Thank you for your participation.